Operator: Ladies and gentlemen, thank you for standing by, and welcome to CONSOL Energy's Second Quarter 2013 Earnings Conference Call. As a reminder, today's call is being recorded. I would now like to turn the conference call over to the Vice President of Investor Relations, Dan Zajdel.
Dan Zajdel: Well, thanks, Tony. I'd like to welcome everybody to CONSOL Energy's Second Quarter Conference Call. We have in the room today, Brett Harvey, our Chairman and CEO; Nicholas DeIuliis, our President; David Khani, our Chief Financial Officer; and Jim Grech, our Chief Commercial Officer. Today, we will be discussing our second quarter results. Any forward-looking statements we make or comments about future expectations are subject to business risks, which we've laid out for you in our press release today, as well as in our previous SEC filings. We also have slides on the website available for this call. We will begin our call with prepared remarks today by David Khani, followed by Brett Harvey. Nick and Jim will then participate in the Q&A portion of the call. With that, let me start the call with you, David.
David M. Khani: Thank you, Dan. Good morning. This morning, I will provide an overview on the quarterly results, key highlights or themes for the quarter, and provide some line item guidance, as well as some trends to help you model our company. I will then pass on to Brett who will focus on the strategic plan and monetization update. As Dan has mentioned, we have posted out an updated earnings slide deck onto our website, and I will refer to this throughout the call. If you look at Slide 3, the company reported a net loss of $0.05 per diluted share for the quarter ending June 30, 2013. This compares to a positive $0.67 per diluted share for the second quarter of last year. Last year, however, included $112 million net gain or $0.49 per diluted share from asset sales. If we adjust our earnings per share for the quarter before items that we reflected in our earnings release, we had a modest improvement albeit a loss of about $0.03 per share. But let me discuss several of these items and the year-over-year impacts to put it to perspective. First, we had the Blacksville fire extinguishing and other costs of about $23 million in the second quarter. Two items not reflected in our adjustments are loss revenues of about $25 million on about 0.5 million tons and any insurance proceeds, which we hope to receive in the out years. Second, pension settlement resulted in an expense of about $5 million. In our first quarter earnings call, we've highlighted that we would expect to record this expense throughout 2013, but the subsequent quarters would be lower than the $22 million expense recorded in the first quarter. Remind you that we triggered this because of a fourth quarter voluntary separation of 100 employees with 30 years of service to CONSOL. Third, we had Marcellus shale title defects of about $3 million in the quarter as well. As this process finalize over the remaining year, we could recognize more book losses. But to put in perspective, in total, we have recorded about $12 million to date. Fourth, income tax rate was unusually high. We posted pretax earnings of $1.8 million and recorded an income tax expense of $14.6 million. Two main reasons for these unusually high rates: One, we recognized the gain on sale and handled the tax rate discretely because of it; and second, we calculate quarterly or interim taxes for recurring earnings based on annual expected results or forecast, not just the quarter. Moving over to Slide 4. Year-over-year coal operations reported approximately a $2.70 decline in margin to about $10.87 per ton. This equated to about a $74 million revenue decline year-over-year, about 1/2 tied to lower sales price and the other 1/2 to hedge sales volumes. The price decline was due to about a $26 per ton decline in low-vol met prices; and secondarily, from a $2 per ton decline in thermal coal prices. As margins decline, production levels become more important to cover our fixed cost. While we met our second quarter production guidance, total production year-over-year declined 700,000 tons to 13.8 million tons. The Blacksville mine contributed about 500,000 tons of this decline, and our idled Central App mines contributed about the rest. Despite this 5% decline in production, our coal operating cost decreased about $0.70 per ton to about $52 per ton. Moving to Slide 5 in gas. As we begin the acceleration of our drilling activity in gas production growth, it's important to keep our eye on margins. Despite a margin amount of new production hedge in the quarter incorporating new and higher firm transportation costs, our gas division margin expanded by $0.05 to $0.69 per Mcfe. Unit cost for the quarter increased year-over-year, about $0.43 per Mcfe. The increase in unit cost is primarily driven by a 28% increase in firm transportation rates and processing fees. As we noted in our first quarter call, we expect margins to rise over the next several years as our mix shifts towards liquids and low-cost Marcellus. Partially offsetting this will be higher firm transportation rates and processing cost for these liquids. Two other increases were from higher severance and other taxes, which are partially price-driven and mix-driven based upon the states in which we produce them, as well as higher GD&A [ph] rate. The higher GD&A rate is mainly a function of last year's negative price revisions and reduced drilling activity in our CBM area. Moving over to Slides 6 and 7, we highlight that we continue to invest in a downturn and able to maintain solid liquidity at $2.2 billion. We borrowed $173 million off our $2.5 billion revolver in the quarter, but also sitting with $72 million in cash. We expect to receive the last of the Noble installment of $328 million in the third quarter. We have 3 key themes really for the quarter in all the work that we've done. First, on monetization. We've progressed nicely on our goals to monetize our infrastructure assets. Brett will obviously hit this in more detail. Second, we also want to remind you that we do have a non-core asset sales process in place, and we hope to monetize between $100 million and $300 million in gross proceeds. We closed the $225 million West Virginia asset sale in the second quarter, and we expect to see more in the second half. Second key theme is domestic thermal demand remains solid, our target utility custom rate continues to take their coal, and our internal goal is to capitalize on this by improving our thermal production targets in the second half. As noted in our slide deck, the PJM inventory levels continue to decline and now stand at approximately 39 days, well below the 5-year average of 52 days. Our coal inventory will also continue to decline to about 900,000, down from 2.3 million last year. In the quarter, we contracted 2.6 million tons of thermal coal in the quarter, highlighting that the steam coal market has shifted back to a more normal contracting pace. Third key point, marginal prices always, as we -- as everybody should know, and while prices have been coming down, our marketing team has been able to take profitable market share. We continue our -- our Buchanan Mine is below capacity, but expect margins to continue to contract in the third quarter because of more open tonnage. Looking out the guidance and some of the changes we see. For coal. Overall, we have maintained our 2013 sales guidance at 56.5 million tons, which incorporates about 900,000 tons of impact from downtime to Blacksville. It was a major accomplishment for the Blacksville mine to come online safely in just over 9 weeks. Also worth noting is we've raised our high-vol met sales to at least 2.6 million tons from the 1.7 tons previously forecasted. Moving over to Slide 9. We highlight that we have shifted our midpoint of our guidance for gas to 172.5 Bcf. For the past 2 years, we have positioned ourselves to capitalize on the Marcellus and Utica Shales. We have acquired, optimized, delineated and partnered to position us to monetize the asset base to its fullest. We now see our gas and liquids production growth accelerating in the second half to about 15% and initiated our 2014 volume growth guidance at 26% based on the midpoint. We have thousands of Marcellus locations and expect to drill about 120 wells this year. So we have a multiyear drilling program and an ability to ratchet up activity. Hedges. We've added about 2% or 3% of our hedges on -- out over to the 2013 to 2016 gas volumes. We now have about 45% of our total 2013 gas production hedged and about 1/2 of these have basis hedges. Looking at coal costs. We expect coal costs to be relatively flat with 2012 levels at around $52 per ton based on our current coal production forecast. Moving over to capital. We expect to be at the upper end of our capital range at $1.5 billion. We've added about $100 million of incremental land capital this year, including our airport land transaction we have announced previously. In addition, we expect our BMX Mine capital to increase, part of which would be incurred this year. The BMX Mine is on target for first quarter 2014 -- late 2014 -- first quarter 2014 start. Moving over to Slide 12, and a discussion about OPEB and pension, some of our legacy liabilities. I want to highlight the potential benefits of rising interest rates on our future expense and balance sheet items for 2 of our long-term liabilities, pension and postretirement health care. While we focus on reducing the cash flow impacts over time, the discount rate has declined from 7.25% in 2001 to about 4% at the end of 2012, in part causing our balance sheet obligations for all of our legacy liabilities to rise from about $2.2 billion to about $4.2 billion at the end of last year. With Fed starting to pull back on its fiscal loosing policy, we appear to be in the early stages of an interest rate rise. On Slide 12, we highlighted 2 of the potential impacts on rate increases, an 85 basis point increase and a 200 basis point increase on the discount rate. In isolating -- in isolation of all the moving variables, a 200 basis point increase would reduce expense and balance sheet obligation by about 15% to 20% over our 2012 actual results. We update our assumptions once a year, so these impacts will be reflected in our year end 2013 balance sheet and 2014 income results. In summary, while this weaker energy environment is proving that we are not immune from oil prices, we will increase the intensity to drive -- improve profitability in 3 key areas: One, with our goal to improve production targets both on coal and gas; two, we're focused on reviewing staffing levels in the mines and project expenditures; three, we're going to tighten our belt even more on direct and indirect administrative costs. With that, I'll pass it over to Brett.
J. Brett Harvey: Thanks, David. For the detail on the quarter, there's a lot there. And I hope you all appreciate that we're busy and reacted to this marketplace. Good morning, everyone. It's good to be with you. Let's talk about what's ahead. From a strategic perspective, we're not sitting here waiting for higher prices. We have good low-cost assets, but that mix has to be looked at all the time. We have to manage our inventory, our overtime and react to the marketplace that we see. Having said that, the thermal side has been pretty strong. On the coal side, we expect to accelerate production on the thermal side the best we can to capture that without increasing inventory. Our top priorities other than safety and compliance is to see that we create shareholder value by managing the success for the long-term direction of the company. We have announced, starting in 2014, coal CapEx goes to maintenance and production levels, around $300 million to $350 million annually. And that's where coal is going to be. I call it the harvest mode. We spent a lot of capital on coal. We believe that's the place for it to be right now. We have no interest in acquiring competitor companies in the coal business. But bolt-on opportunities in gas and coal that add to the value of this great asset base that we have, we will consider. We will drill liquids wells as fast as we can go as long as the liquids prices hold up as that's an advantage for us. We'll drill the dry gas window if pricing supports it, otherwise we'll find a way to return value to our shareholders. We're working to monetize some of the assets that aren't receiving value in our share price, and the more we study the assets in our -- in this great company, the more we realize their value there that the shareholders are not seeing or valuing. Now, I want to provide a bit more detail on the asset monetization process. We should have an announcement in the third quarter on some of these assets. Now remember, we don't announce the results of any of this until we're finished with it. We learned that 2 or 3 years ago when we announced the sales ahead of time. But I can tell you, the process is underway, we've talked about it and we see a good response from the marketplace on some of these quality assets that we're looking to monetizing. In the earnings release, we also noted that we're evaluating our overall corporate structure to consider options to unlock additional value for our shareholders. This should not be a surprise to anyone because from the day we did the Dominion deal, I've said that we will always look at our asset base across the board, coal and gas, to see that we're getting value to move this great asset base forward in terms of net present value to our shareholders. The structure issue is becoming more and more serious because the gap between the underlying value of our company and the current enterprise value has not narrowed in our opinion. We have accomplished, or will shortly, several important items in the last year that enabled us to be more aggressive and consider this more seriously. In coal, we're fast approaching the completion of the BMX Mine. High-volume, low-cost, more optionality in coal, that gives us a great position. On the gas side, we see accelerating gas production through the second half of '13 and '14, as we released earlier. We're spending the capital to grow this business very rapidly, and you're going to see those results in the next few quarters. Growing liquids production within the Marcellus Shale, which are driving wider margins, is well underway, and our partner who is now set in the Marcellus, Noble Energy, is engaged at drilling rapidly at the same rates that we were. And we've also had successful exploration in the Upper Devonian shale as we've announced. We are also transitioning in the Utica Shale from an exploration play to a liquids-rich development play. These all give us a different look. Remember what I said in the past on other calls. From the time the recession started in late 2008 till now, this is a bigger company with more rich assets than we've ever had, and it gives us more optionality as we look at the company going forward. The completion of these items I mentioned gives us a better understanding of the inherent assets that we have. The management team is dedicated to create shareholder value, and that everything is on the table in coal and gas. We wanted to send that signal to the marketplace because we're serious about moving the value over these assets forward to our shareholders. With that, let's go ahead and open up for questions.
Dan Zajdel: Operator, would you please instruct the listeners on how to dial in for questions?
Operator: [Operator Instructions] And our first question will come from Lucas Pipes with Brean Capital.
Lucas Pipes - Brean Capital LLC, Research Division: So my first question is on asset sales, both core and non-core. On the core part, I think you previously mentioned both MLP and lease buyback as a potential. What way would you be leaning right now? And then secondly, on the non-core asset sales, what type of assets are you looking at?
J. Brett Harvey: Well, like I said earlier, we don't really announce what assets we're going to sell until we've actually completed them. But I can tell you that the process from the time we said we started until now is accelerated, and we've had more ideas than we've had in the past. On the asset sales side, that matured and I think -- as I said earlier, I think we'll see something in the third quarter, an announcement on that. When it comes to the core assets, it's more of how do we structure our company going forward around the plans that we see from the future energy markets. And we are not ready to announce anything, but we've got some pretty creative ideas. When it comes to MLP and other asset structures, we look at those, but we're not ready to point out which direction we're going.
Lucas Pipes - Brean Capital LLC, Research Division: That's very helpful. And then in terms of evaluating the overall corporate structure, could you maybe give us a little bit of flavor around what set of parameters you're evaluating? Is it timing or just the valuation between your different assets? How do you look at that?
J. Brett Harvey: Well, we look at that -- we look at this value of our asset based against where we see the market, as I said earlier. We look at our 15- to 20-year plan. We've made it clear where we're going to grow, so we look at the assets from that perspective and we back into the right structure for that. So that's probably as much as I want to say about that as well, Lucas.
Lucas Pipes - Brean Capital LLC, Research Division: I appreciate it. Then maybe really quickly, one last question on the market. 2014 pricing look very strong. Would you say that's pretty representative of the tons that you have left to price?
David M. Khani: Lucas, on the 2014 pricing on the thermal coal in particular, we have a lot of activity going on right now on the -- I know we didn't announce any -- in the numbers, any additional sales about much. But by the time we get to this call for the next quarter, we think we'll have several substantial thermal coal deals put to bed, and the pricing we're seeing is what we consider to be good pricing for next year. There seems to have been a lot of interest from the buyers in the last month in talking to us about securing -- this is domestic thermal coal I'm talking about, in securing coal supplies for next year. There seems to be a concern out there for reliability of supply and wanting some of the higher Btu coals at least in the markets that we're in. And so we've had a lot of activity, but not quite ready to announce yet the outcome of that activity, Lucas.
Operator: Our next question in queue will come from John Bridges with JPMorgan.
John D. Bridges - JP Morgan Chase & Co, Research Division: Just following on, on the thermal question. Are you able to put a few extra shifts in this quarter to satisfy any shortages in Northern Appalachia?
Unknown Executive: The way we structured our longwall coal fleet in Northern Appalachia is to be in a position to take advantage of increases in demand on the thermal side whether it's because of weather or inventory or some combination of those things. So the guidance that we gave for coal production in the third quarter is the same approach we've used historically, which is a 50 percentile case based on how we see market, how we see operations, et cetera, but that fleet is poised because of the lean days and the development work that we've done to take advantage of upswings and market demand if and when they occur. And then that would be our plan to do so if that occurs.
John D. Bridges - JP Morgan Chase & Co, Research Division: Okay, great. Brett, you speak about corporate structure changing. How can that move the needle in terms of valuation?
J. Brett Harvey: Well, I think it moves the needle in terms of how you look at the asset base and where you spend your capital going forward. Corporate structure, clearly, is -- you have 2 very, very strong divisions of a company, one's growing very rapidly and one's going into the harvest mode, and you have to see how those fit in your 15- to 20-year plan. So we'll have more to say about that as we go forward.
John D. Bridges - JP Morgan Chase & Co, Research Division: And finally, the high point of your guidance seems to be high-vol, which is holding up very well. Any comments on that?
David M. Khani: Yes, John. The high-vol activity has picked up from the first quarter. We have higher announced sales now for the year. We've had some good interest in the high-vol down in South America in Brazil and domestically here in the United States. And so as I said before with the Vimeo call, John, we have the optionality of a couple of different markets. And so we took that off of what we thought was going to be some domestic sales and flipped it over to the high-vol sales organ in South America and the domestic market here.
Operator: Our next question in queue will come from the line of Holly Stewart with Howard Weil.
Holly Stewart - Howard Weil Incorporated, Research Division: Let me first start on the Marcellus side. It looks like production was down quarter-over-quarter for the first time. I know you talked about a real ramp-up in activity in the second half of the year. Can you just kind of give us a flavor for what was going on during the quarter, and then maybe how the second half of the year helps you hit your guidance?
Unknown Executive: The story of -- with the Marcellus activity, right now, we've got 5 rigs running in the Marcellus still between ourselves and our joint venture partner, Noble. Two of those rigs were running on the CONSOL Energy side, 3 are on the Noble wet side. That rig count, as you look through the balance of '13, is going to increase, it's going to increase on the wet gas side. So the 3 rigs that Noble are running currently are going to go to 5 by year end. That fourth rig will be coming on sometime later this year, and then the fifth and final one there will be coming on the very end of the year. When you look at the second quarter and the production results that flow from it, what you see is a timing issue between drilling and completions. And if you look at our gas production use for the balance of 2013, you're looking at something just above 39 Bcf for the first quarter. Just under 39 Bcf, as you said, has been flat effectively for second quarter. But then third quarter, our guidance is somewhere between 43 and 45 Bcf, so call it 44 Bcf. And that's a good reflection of that timing issue I just spoke about between drilling and completion. That's basically the completions being done in the tighter months occurring. So the year for 2013 still stands. They stay set at that 172.5 midpoint. The range we gave was 170 to 175 Bcf. And then the ramp-up beyond that, of course, for 2014 is the 210 to 225 Bcf that we released in the operations update about a week, 10 days ago.
Holly Stewart - Howard Weil Incorporated, Research Division: So it sounds like the increase in rig count though is maybe a 2014 event in terms of the impact on production, and the increase in the second half of the year is just more of this timing issue between drilling and completion activity.
Unknown Executive: Yes. I think the -- to get the 2013 number, that increase, it happens in the second half of '13, that's the completions drilling timing syncing up with the tied in lines. The 2014 story, of course, as you said, it's the additional rates plus additional wells being tied in line from completions that are ramping up in fourth quarter of '13.
Holly Stewart - Howard Weil Incorporated, Research Division: And right now, your plans and your budget for 2014 is to keep those, just those 2 rigs running from a CONSOL standpoint, CONSOL standalone standpoint?
Unknown Executive: No. Probably, that's something we're still working through with the '14 drill count and the rig plan that goes behind it. Where that mix ends up ultimately is still a work in progress. But the 210 to 225 Bcf is a number or range of production numbers that we're confident in.
Holly Stewart - Howard Weil Incorporated, Research Division: Okay. And then maybe my follow-up, just on the liquids contribution, I know 70% of the wells you're drilling is on the liquids side. So can you give us kind of the uplift that you're seeing right now on an Mcf basis on the liquids contribution?
David M. Khani: Yes, Holly. We have said on our total production that we would expect about 5% overall to be liquids production for the year. And with relatively flat production first quarter and second quarter, the uplift for both the quarters had been about $0.10 per Mcfe on our overall gas realizations, and our cost for processing have increased by about $0.04 as well. So the margin expense is about $0.06 on an overall realizations and costs.
Operator: Our next question in queue, that will come from the line of Paul Forward with Stifel.
Paul S. Forward - Stifel, Nicolaus & Co., Inc., Research Division: Can I ask about the $102 million of proceeds from asset sales in the quarter, can you provide a little bit of detail on the items that went into that?
David M. Khani: Yes, that is a combination of the longwall leases that we've done. Roughly about $70 million of it was the longwall lease, and then the additional was the asset sales in West Virginia. So that comes up to the total.
Paul S. Forward - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And I just wanted to ask about the -- you had talked about the asset sale process, including coal transportation infrastructure. I just wanted to ask you just kind of broadly about how important has your marketing coal when thinking about like the barge fleet or the terminal in Baltimore? How important is it to have that housed internally, or would there be any sort of, if you were to sell them, would that impede the coal marketing efforts in any meaningful way?
J. Brett Harvey: Well, clearly, they're valuable assets because we have the ability to move our own coal, move it away from inventory and establish the market and get it to markets, and we have return on those assets. I think the access to them is the issue. If we have access to them, then we're satisfied with them, over the term, we'd consider the sale as long as we don't lose the strategic asset -- strategic value of those assets. So if someone wants to put in their portfolio and want to pay us a good price and we have our strategic piece in place, we certainly want to look at that. So that's the position we're in with that, Paul.
Paul S. Forward - Stifel, Nicolaus & Co., Inc., Research Division: And just maybe lastly, can you give us a sense of what kind of volumes you'd expect in the second half of the year through Baltimore? and that was very strong earlier, it might have dropped off more recently. Can you give us an update there?
David M. Khani: Yes, Paul, we're looking for a year long total of about 10 million tons right now through Baltimore with the current production levels that we have shown in this earnings release. As Brett said earlier, we've got some capacity to increase production if the sales warrant themselves. And that would have -- and if that goes to export, that would in turn increase it. But right now, Paul, we're looking at about 10 million tons for the year.
Operator: Next in queue is the line of Mitesh Thakkar with FBR.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Just a quick follow-up on the earlier question on the oil and gas and NGL output. How should we think about the average for 2014? I know you guys gave an exit rate, but we don't have the rig count and what regions they are going to be in. So can you help us a little bit there to help us on the modeling side a little?
David M. Khani: The percentage is clearly going to go up because there is a lag of tying in wells from drilling wells. We can't give you the exact percentage increase, but it's a material step-up. And -- but if you look at the fourth quarter at least as a proxy and that we gave you that exit rate, that should give you at least a ZIP code of where we're going to be.
Nicholas J. DeIuliis: Another gauge that might help is to back up even a step further and look at the well count allocation when you look at 2012 into 2013, and then how 2014 might fall out. 2012, we are about, say, 1/3 of our well count in the shales, the Utica and Marcellus were wet. We know that 2013 will be about 70% based on our current production guidance is going to be wet. And that's sort of the leading indicator, of course, for what the flowing production is going to look like and how that's going to change on wet versus dry gas.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Great. And just a follow-up question on the coal side. When you think about your thermal coal volumes into '14 and '15 including BMX, and also adding to it the impact of utility regulations and maybe some planned idlings which we'll get from it, how comfortable are you in terms of whether you wait for pricing to recover for 2015 coal or do you just start contracting right now to kind of award some of that?
David M. Khani: Matesh, the BMX coal, first off, we're not marking it separately, it's all coming in to our Bailey/Enlow fork umbrella of coals. And since it comes under that umbrella of coal, it goes to a variety of markets, whether it's the thermal, the high-vol or the PCI markets. And so those extra or incremental firms come on, we have the option of placing them really anywhere in the world. Right now, our Pittsburgh #8 coal is going to 13 different countries, and we've got 54 different customers with those different product lines. So we see that incremental production coming on and it's -- going to put it, whichever one of those markets give us the best returns on the coal.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Then what about your non-BMX coal, like just your regular steam coal? Would you be aggressive on contracting it? Because it looks like you have a fair amount of open as we go into the outer years, which is usually the case.
J. Brett Harvey: If you look at our history, we've been very aggressive in going to the plants that match our coal. We want short-haul, we want the plants that are high-volume and scrubbed. That's been our strategy since 2003, 2004. We've been very good at establishing those volumes, and the customer likes to write longer-term contracts with us based on our ability to supply at our location. We've emphasized that, you'll see the strength of that position, and that position is one that's going to give our shareholders long-term value and less risk over disclosure of the incremental plants in the United States.
Operator: Our next question in queue will come from Jeremy Sussman with Clarkson.
Jeremy Sussman - Clarkson Capital Markets, Research Division: I just want to go back to the corporate structure for a second. Just to clarify, Brett, your opening remarks, is it safe to assume that what you spoke about potentially includes kind of splitting up the coal and gas businesses? And I guess if that's a potential option, how soon could you start to explore such a process?
J. Brett Harvey: Well, in terms of timing, I'm not willing to say much about timing. In terms of what -- how we look at the assets, coal and gas, we look at all of these options all of the time, and I've said that before. That's one way of doing it. There are other ways of looking at this asset base in the marketplace we're moving it to forward. So I think what I'm trying to signal to our shareholders is everything's on the table. We're willing to step forward and look at all the pieces, and we'll announce what we think is good with the shareholder when we're ready, but we are serious about it. And the process of looking at all of our asset base has -- like any process, creativity comes out of that, and we're in the middle of that right now.
Jeremy Sussman - Clarkson Capital Markets, Research Division: Great, that's really helpful. And then just my follow-up. You didn't lock in too much tonnage for 2014 for Northern App on the thermal side, but you spoke about planning to do so or in the process of doing so soon. I assume it's -- this is kind of the result of the market naturally tightening and pricing moving higher. Can you just give us a little bit more color on this front and maybe where pricing was and where it's at now?
David M. Khani: Well, Jeremy, I do agree with you that with the inventory situation that is in the Northern Appalachian region and the PJM, that there is a tightening of the supply demand. And so there is a concern out there from the buyers. And I'll comment on that for a minute, then I'll talk about the pricing. And in our press release, we talked about our inventory level. And if we just take our Northern App inventory levels, the number we gave in the release was for all of our mines and our remote storage. But if you look at our Northern App mine inventory, at the end of the second quarter, it was only 250,000 tons. And that's for 10 different longwalls having -- which can produce over 50 million tons a year, only 250,000 tons of coal on the ground is not very much. And then we go to our customer base in the PJM and they're 26% below their 5-year average for their inventory. We also sell Pittsburgh seam coal down into the Southeast region. And looking at those inventories on there, still they're up over the 5-year average by 19%. But if you look from the first quarter to the second quarter, there's been a considerable drawdown in the Southeast inventory. So they're still above their 5-year average, but there's been quite a drawdown from the first quarter to second quarter. So you take a combination of our mine inventories are low and our customer inventories are low or coming down, and there's inertia out there now to be locking up tons for 2014. And so because of that, we're having a lot of activity, a lot of discussions with customers about deals, and these deals are taking the form of substantial tons for multiyear deals because the customers are wanting the reliability that we can offer from our longwall mines. Now you asked about pricing. The pricing is different depending on the markets we go to, and we're looking at different pricing structures. We're still in negotiations with these customers. So I don't want to get into it too much on the pricing other than I'd say -- I can say that we're seeing stronger pricing levels for next year than we are in the current market.
Operator: Our next question in queue will come from the line of Michael Dudas with Sterne Capital.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: That would be Sterne Agee. David, regarding your gas hedges, as the growth in output and the company gets larger and the capital goes up, maybe share with us how you're thinking about portraying them in the future, and how the percent of hedge looking out 12 months and 18 months or 24 months may look similar or different than some of your competitors on the gas side maybe in the eastern or just generally across the board?
David M. Khani: Yes. Well, first and foremost, we've highlighted that the liquids percentage would rise. So that's one thing that we note. We have on the hedging front, we have a program hedge policy where we go out through -- now through 2016. And we have set price levels where we put hedges in place and set percentages of how much we want to hedge on our proved developed producing gas flow. And so -- and it will look very similar to what we have right now as far as rough percentages. So in our press release, we give you the '13, '14 and '15 numbers. And if you go in the Q, you'll even, I think, you'll get the '16 numbers as well. You'll see that number rise over time as we bring wells online. We want to keep those percentages relatively consistent. And that gives us the ability in our portfolio approach, as prices move up and down, to get to the average price and provide reliability and cash flow to our drilling program. And that's the whole key goal of our hedging plan. At some point in time, if we feel like we want to be more aggressive on hedging when prices are better, we'll let you know whether we have a deviation of plan. But right now, that's the goal.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Appreciate that. Maybe for Nick. Looking at Utica and your infrastructure, all the 25 planned wells can be hooked up the pipeline this year. Is there a difference between your wells and Hess' in that region? And is there any results or anything that we maybe look -- can look for over the next few months out of that basin?
Nicholas J. DeIuliis: Well, the Utica, there's an awful lot going on there, as we know, because it's a little bit earlier in its development than the Marcellus. But suffice to say, when you look at the drill plans on Utica for '13 and for '14, we feel that on the midstream side and on the other logistical challenges, not just flowing the gas on the midstream, but also things like water for completions and things like that, with that plan in place, that should address the drilling program that has driven the production guidance that we provided. So we think we've got the bottlenecks identified for midstreams such as other things like I said like water, and that all got reflected and rolled into the overall production guidance that we provided for the company.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: My final question for Brett. You talked earlier in a response to a question about your positioning and where you're selling your thermal coal in the U.S. As you look at potential regulation coming out of the EPA or other changes that might go forward or may not, do you feel like CONSOL is much more insulated from some of the secular changes in coal usage in the United States than anybody else in the marketplace?
J. Brett Harvey: I think we are because of the region and our location to the generation. If you tie the most valuable generation in the region to the asset base, they're sitting right on top of us. So we do have an advantage that way. We do know as marginal plants shut down, and I say marginal plants, these are the plans that aren't scrubbed, that didn't spend the money on the scrubbers that some announcements are coming out now, we pushed away from those, and we pushed towards the big scrub plants, and the big scrap plants are actually going to run harder in this nation as you see generation get short. As the swing between gas and coal goes back and forth, the big scrub plants that sit right on top of us are going to run harder, and we're going to take advantage of that. So yes, I think we do. It's all about location that you've heard me talk about before. Being at the end of the railroad is not a good place to be, but being out of the power plant is a great place to be.
Operator: Our next question in queue will come from Brandon Blossman with Tudor, Pickering, Holt & Co.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Let's see, shifting back to gas real quickly. Some of your gas peers, Marcellus peers have been talking recently, very recently about very material increases in ultimate recoveries out of their Marcellus wells. Is that something that you're seeing, and is that going into kind of a long-term planning process today for you guys?
Nicholas J. DeIuliis: We've looked at the impact of our actual well production profile on reserves and well cars now for a number of years. And I think the historical experience has been one of steady and methodical, I'll call it, scaling of the reserve estimates based on the production data that we've accrued, which is, of course, good news. When you look at where we're at today moving forward, there's a couple of things that we're working on to try to keep that trend moving in that direction. One of them is with regard to what we're doing, and we've talked a bit about this on the Upper Devonian test well that we've completed and the move on the Upper Devonian in the future. One of the biggest impact, maybe the most important impact we found is not the specific well profile and production numbers from the Upper Devonian well than maybe to get, more importantly, what impact it had on the Marcellus horizontals that we had below it. And we drilled this well purposely to sit above some Marcellus wells and laterals, and we had drilled below it. And when you look at the impact that the Upper Devonian well on its fracture treatment have on these lower Marcellus wells, it's some very positive preliminary indications. So it's those lower Marcellus wells where we might be getting a bit of an uplift from reserves. We look interestingly enough at the Upper Devonian where most people tend to look at that in a vacuum. That's one example of things that we'll be looking at moving forward. The other example would be things like the reduced cost for spacing. And I know a lot of our peers have been working on that and talking about that recently as well. Jury is still out on that from our perspective. We've looked at these in the past and continue to drill a number of wells currently. We are looking at different cluster spacings on the completion side, and we think that the potential benefit there may not be as much on the initial production rate, like some others have seen, but maybe the impact might be on the reserve recovery and the reserve EUR per well itself. So we're looking for some potential uplift there, too. But again, jury is still out, more work to be done on that. There's 2 examples where we've got some potential to keep that positive, upward adjustments on EURs moving forward.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Great. Definitely, interesting color there and look forward to hearing more. Now shifting real quick to the met side, detail question. So it looks like incremental hedging done in the second quarter for the Buchanan product was around $86 a ton. Is that a reasonable number given where today's market is to expect kind of incremental tons throughout the balance of the year, again, all things being equal, assuming the market stays where it is or the incremental spills out of Buchanan?
David M. Khani: Brandon, we don't comment on specific pricing of our sales. But in response to your question though, I would just take to the BMA Index, what we're seeing at about 145 right now. And there were some spot sales that have come in a little bit underneath that, but it seems to be holding pretty much in that range, whereas in past quarters, you have the index come out and then the spot sales would go quite a bit underneath it. So we're seeing some discipline in the market with holding in that -- the pricing holding and that really undercutting at BMA pricing level. And going forward through the third quarter, we're not seeing -- we're not anticipating much of a change in the BMA Index as we go through the quarter, and maybe some modest increases as we get towards the end of the year. So we're not projecting any significant increases in the BMA pricing through the rest of the year.
Operator: Our next question in queue will come from Dave Martin with Deutsche Bank.
David S. Martin - Deutsche Bank AG, Research Division: Wanted to come back to low-vol, I guess, first. You haven't sold much low-vol for the third quarter the second half of the year. Can you comment on your marketing strategy or update us on your marketing strategy in China and offshore, for that matter? And what are your operating objectives at Buchanan given that you're forecasting weaker shipments in the second half?
David M. Khani: Dave, on the low-vol coal right now, the production levels that we have in the release, the 4 million to 4.2 million tons, there certainly is upside potential for us to produce more if the demand is there and the prices are adequate. So that's the first thing I'd like to give a response to, that is there is some upside. Now for the rest of the year, using those numbers of the 4 million to 4.2 million tons, we've got approximately, in total, 1.2 million tons of coal that we have to price. And I'd like to break that out into some different categories. Of that 1.2 million tons of Buchanan, about 800,000 tons of it is sold already. And we have to price that to the market. And that 800,000 tons, about 2/3 of that is domestic and another 1/3 of that is South American. So that leaves the remaining 400,000 tons, which is purely spot sales for us, and right now, we are pursuing sales in China and Europe, and additional sales to South America. And we're going between those different markets. And as I said at the beginning, there's 400,000 tons of stock, but we do have some upside in our production if the market is there to put more tons into the market.
David S. Martin - Deutsche Bank AG, Research Division: Okay. And then I wanted to, lastly, come back to cost. This may be somewhat irrelevant in the context of the discussion about corporate structure, but in the release, you note that you've begun a review of staffing levels at the company. Can you provide some color on what you're looking at and whether there's any preliminary targets that you can give us some perspective on?
Nicholas J. DeIuliis: I think when you look at the cost of the major operating segments within the company, we've got 2 different opportunities and challenges are out there. On the gas side, with cost, the issue there, it's a segment that's undergoing growth, of course. But as our production grows, we need to start realizing economies of scale on the unit cost that we're seeing for at least the field costs and the applicable overhead costs that will be subject to that. Our plan is that we will see that, that is a function almost directly of production. We talked about the production ramp on some prior questions, so we get to the 170-some Bcf production level this year and then the 210 to 225 next year, and one of the key opportunities and objectives is to demonstrate we're getting economies of scale in our unit cost as that Marcellus and Utica sets of fields ramp up. When you switch over to the coal segment, a little bit of a different situation there. On the coal segment, as Brett has said and David had spoken to, the retooling of the coal segment has basically been completed or will be completed year end this year or early next year as the BMX Mine comes on and the Enlow overline belt gets completed. So for a number of years, we staffed up and invested hundreds of millions of dollars in capital across the longwall fleets to basically set these fleets up for long-term, steady-state operation to be able to take advantage of swings in market demand that Jim Grech spoke of earlier when they occur. Now that those efforts are wrapping up and as major projects are being concluded, now the exercise is going to be one of staffing and looking at project expenditures at these mines that basically take care first and foremost, of our top values of safety and compliance, and then after that, reflect a steady-state mode of operation for that longwall fleet as opposed to major projects or retooling.
Operator: Our next question in queue will come from the line of Chris Haberlin with Davenport.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: In response to a question earlier, I think you had said that you had shifted some of your thermal sales to the high-vol market. And based on my math, it looks like you booked high-vol tons at below thermal prices. Can you just kind of discuss what the market environment is there for the high-vol tons?
David M. Khani: Chris, the high-vol markets that we've been pursuing right now have been in Korea, and I mentioned South America and United States as well. And to the statement that you had about us taking a sale at lower than the thermal price, to my knowledge, we haven't done that. We were putting the sales where we get the best margins and when the tons are available for us. So if there was daily sales available for us right now at attractive prices, as Brett mentioned, we have the ability to ramp up production and we would take those sales. So does that answer your question that you're asking there, Chris?
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: Yes, it does. And then you mentioned that you expect the BMA price to kind of hold in here or maybe increase modestly towards the end of the year. Just wanted to see, in your opinion, what needs to happen for pricing to recover back to even, say, Q2 levels?
David M. Khani: Well, Chris, the -- with out-on-the-markets [ph], we don't see a shortage of demand for coal in the world markets, but what we have is an oversupply. And because there's an oversupply, what we need to happen is with these weak prices is production needs to come offline and have to get that supply and demand back in balance. So each market is a little bit different when you're talking the globe, but in general, what's going on in the world market is we have, what I would say, decent demand for the metallurgical coal, but certainly an oversupply. And so that supply needs to come down.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: And then do you have any kind of ballpark figure of what that oversupply stands at today?
David M. Khani: Chris, we've taken a look at that and with the different qualities of coal and the different markets, that sure is a hard one to put a number on. But we've come to a number between 15 million and 20 million ton decrease in the seaborne market supply. But that's going to come with a lot of qualifiers on it. And again, as markets shift and qualities of coal shift, that can bounce around. But as the number today, we're in at 15 million to 20 million ton range.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: So that's fair. And then last question. On the margins in gas, you talked about seeing a significant uplift in margins as we move into next year. I guess with the transportation charges that you took in the quarter, do you expect those to kind of continue or moderate as we go through the year? And how should we think about that margin uplift? I mean, should we see a significant step-up in '14 or is that something that should move more linearly?
David M. Khani: Yes, it will -- part of it will be following the volume levels. We will continue to incur the firm transportation rates because it is new capacity that we've acquired in anticipation of the ramp. There'll be, obviously, higher liquids realizations in there as well. And so it's going to -- it'll step up with production, I think, is the way you want to think about it.
Nicholas J. DeIuliis: And then outside of the midstream cost, the other things we always zoned in on, one, the drilling, because it starts with the drilling efficiency, the completion efficiencies which drive DD&A don't continue to trend very favorably for us from the drilling efficiencies and drilling cost tied to them to the completion cost. So we've either been holding a line on those or seeing reductions as efficiencies accrue. That's good. The other thing besides midstream and drilling completions cost will be the economies of scale as the production ramp occurs for field cost that we spoke about earlier. So those are the 3 big buckets of cost, and 2 of those 3 are trending favorably, should continue to trend favorably as production ramps up. The third one is data that is really tied to the market that we're seeing because of the different products we're producing now, which, of course, is good news. We're spending money to make more money.
Operator: Our next question in queue will come from the line of Curt Woodworth with Nomura.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: Brett, you talked about the past couple of quarters, the disconnect in the public valuation of the company relative to, obviously, what you guys are shooting for. So I just want to know a little bit of a kind of background in your thinking as to why that is. And as we talk to a lot of investors, do you think it's more a function of just negative sentiment on the coal business that kind of acts as an overhang to the overall valuation or do you think it may be a function that the gas business is yet to fully scale and perhaps that growth vehicle hasn't been reflected yet?
J. Brett Harvey: I think you've actually described the problem. The coal business is definitely out-favored. And so we see the pressure on that side, even though we're the low-cost producer and have the highest margins in terms of what our shareholders get out of that business. It's really out-favored. So we're seeing the pressure there. But we also realized, if you look back a couple of years ago, it was all about coal. And we made big money on the coal business as we developed the gas business. But as the gas business gets bigger and bigger and bigger, it's confusing on what you invest in CONSOL. Are you investing for gas or you're investing for coal? And the analyst base is really on one side or the other. So you kind of give a conglomerate discount, I think, at some point. And we think that we need to bring that forward and let our shareholders bask in the value of all these assets, whether it's by sale or by structure, and we're working on that right now.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: Okay. And just one follow-up on the asset sale proceeds or some of the broader monetization plans for the company. Do you feel that you have good reinvestment opportunities on the gas side at reasonable valuations right now?
J. Brett Harvey: Yes, we certainly do. I think that if you look back to our acquisition, especially in the Dominion and got into the Marcellus in a big way, that's actually gotten better and better and better over time. And we have more than 5,000 places to drill right now in the Marcellus, excluding other horizons that we're exploring. So yes, there's great places to put value into this asset base and attract value for our shareholders going forward.
David M. Khani: Good. Operator, would you please give the replay instructions.
Operator: Thank you very much. And ladies and gentlemen, this conference will be available for replay after 12:30 p.m. Eastern Time today running through August 2, 2013, at midnight. You may access the AT&T executive playback service at any time by dialing (800) 475-6701 and entering the access code of 297003. International participants may dial (320) 365-3844. That does conclude your conference call for today. We do thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.